Erik Zimmer: [Abrupt Start] All participants are in a listen-only mode, and question-and-answer session will follow the – in the formal remarks. As a reminder, this conference is being recorded. On the call today, we have Ceridian, Chair and CEO, David Ossip; and CFO, Noemie Heuland. Before I hand the call over to David for some brief remarks, allow me to please provide a disclaimer regarding forward-looking statements. This call may include forward-looking statements about our current and future outlook, guidance, plans, expectations and intentions, results, levels of activities, performance, goals or achievements or any other future events or developments. These statements are based on management's reasonable assumptions and beliefs in light of information currently available to us. Listeners are cautioned not to place undue reliance on such statements. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those set forth in such statements. We refer you to our previous filings with the SEC for information regarding the significant assumptions underlying forward-looking statements and certain risks and other factors that could affect our future performance and ability to deliver on those statements. We undertake no obligation to update or to revise any forward-looking statements made on this call, except as may be required by law. The third quarter stockholder letter, earnings release and Form 10-Q have been furnished or filed with the SEC and will be available on the SEC's EDGAR database in the US and the SEDAR database in Canada, as well as on Ceridian Investor Relations website at investors.ceridian.com. With that, I will turn the call over to David.
David Ossip: Thank you, Erik, and welcome everyone to our Q3 earnings call. Let me say a few quick words about the quarter, before we open it up for general Q&A. We had a very solid quarter with continued great execution across the entire business. Dayforce recurring revenue, ex-float grew on a GAAP basis by 33% or on a constant currency basis by 31%. Total revenue increased on a GAAP basis by 26% or 24% on a constant currency basis. For the fiscal year of 2021, we slightly increased the guidance and we narrowed the range to $1.14 billion to $1.19 billion. On the gross cloud margin, we saw an improvement of the gross cloud margin to 72.7%, which is up to 90 basis points on a constant currency basis, and up 70 basis points on a quarter-over-quarter basis. Customer POP accounts increased by about 11% year-over-year, and the average size of the customers also increased about 11%, and on a 12-month basis, we have taken live about 523 customers. Float balances also increased by about 25%, but float income was negatively impacted by a slight decline in the yield by 36 basis points. Adjusted EBITDA was 39.4%, which is up 20 basis points on an ex-float basis. On the Dayforce Wallet, we continue to see very strong metrics. The number of customers live on Dayforce Wallet is now above 290 customers. We have sold over 800 accounts at this point in time. We saw registration rates across the eligible employees, who have access to the wallets grow to about 29%. And when we look at the top quartile of tenured customers, we see registration rates above 50%. Usage of the wallet continues to be very healthy, with an average number of transactions of above 25 transactions per month. In early October, we closed on an acquisition of Data Fusion, which further increases our compliance advantage and gives us specific capabilities for certified payroll reporting, prevailing wage rate calculations, incentive payments, union rate calculations, and very complex general ledger reporting. This technology is immediately available and will be integrated into Dayforce. This acquisition will obviously help accelerate, our growth in construction, government contracting, manufacturing, unionized environments, the public sector, and not for profit. Also in the first week of October, we held our first in-person customer event in over two years with the first stop of the Ceridian World Tour in Las Vegas. At the CWT event, we shared our vision for Dayforce to deliver the always on people platform for the global workforce which is anchored by our brand promise of making work life better. A few highlights of the event. We had some product announcements including the announcement of screaming pay, which is the automatic delivery of earnings and net earnings to our employees' Dayforce Wallets. We announced the HR service delivery, which is an end-to-end employee solution that provides an always on HR compliance support. And we also discussed Dayforce Talent Intelligence a suite of new transformative talent management solutions empowered by AI and data. We plan to build on the success with our next CWT Torstar in New York. This event which is primarily focused on customers will also feature an investor track including a session with the Ceridian executive team starting at 3:30 p.m. Eastern Time on Thursday November 11th that portion will be Webcast, so please join us. You can find the information on our investor website, on how to register the event or join this session via live Webcast. I'm also very pleased to share that Ceridian was once again named a leader in the 2021 Gartner Magic Quadrant for Cloud Human Capital Management suites or enterprises above 1,000 employees. We believe this report further validates our vision, the innovation of the Dayforce product and our commitment to delivering quantifiable value for our customers. Before I hand it back to Erik, I would like to close by saying, how proud I am of our Ceridian team across the globe. Our engagement metrics are up. Our culture remains vibrant, as we alongside our customers, transition to a new hybrid work environment and our purpose and our brand promise to make work life better has never been more clear and relevant, Erik, back to you.
A - Erik Zimmer: Thanks David. [Operator Instructions] Today the first question comes from the line of Alex Zukin of Wolfe. Alex please go ahead.
Alex Zukin: Thank you, Erik. And congrats Ceridian team on a solid quarter. I guess, I wanted to start out David by asking the question of around the narrowing of the guidance range. And particularly in the shareholder letter you called out seeing some employment headwinds in your customer base of them not being able to hire at the pace or rehire at the pace that they wanted to. And it impacted the quarter. I'm assuming it impacted the guide somewhat. I wanted to ask a broader question which is how long, do you anticipate this to be a headwind for the business? And are we -- if we step back and from a big picture perspective look at the business you're seeing clearly tailwinds around the war for talent and necessitating a modernization initiative of many HR organizations and tools, but at the same time you get paid per employee per month. And if you can't hire then you can't pay Ceridian more. So work -- talk to us about those two dynamics, are they balancing out because new bookings are well ahead of where you thought you were going to be. And we can't see those numbers. We can only see the PEPM stuff but that would be very helpful I think?
David Ossip: Sure. So Alex great series of questions, so I'll try to break it down into different pieces. So for Q4, we had expected last time we spoke a $1.5 million improvement in the headwind from employee accounts. As we pointed out in the shareholder leisure, we're seeing that it's taking slightly longer, for our customers to fill their open job requisitions. So we have decreased what we expect the improvement of Dayforce to be down by about $0.5 million. And that is the tightness that we've actually taken. So we've widened the Q4 guidance by corresponding by that amount. However, we have taken the beat that we had in Q3 to the full year guidance if you like. So that gave us the increase in the actual guidance. In terms of the business obviously I do believe we have been executing tremendously well that if I look at it from a pipeline perspective it still remains very strong. And we are forecasting for the second half of the year that sales will come in quite favorable to last year and to the year before that which speaks obviously to the sales execution of the actual business. On the implementation projects continue to be implemented a lot of activity with our customers. And I'm actually seeing some tremendous feedback from our customers in terms of the NPS or the customer satisfaction levels as well. In terms of the tightness of the if you like the hiring market, I wish I had a magic mirror or something. But at this point just looking at what we know given the employment numbers that we did see in September which remember do give us October. And what we believe we saw in October which gives us visibility into November and what we're currently seeing in November which will give us visibility into December. We believe our guidance range is pretty good. 
Alex Zukin: Got it. And I guess is this should we start thinking as we model -- as we adjust our models for next year should we start moderating our assumptions for an employee tailwind in general based on these early indications? And then maybe for Noemie also walk us through some of the adjustments around the adjusted EBITDA guide? It implies that you are spending a little bit more I'm assuming on marketing and sales either hiring or activities. And then also I apologize for the multiple questions but we do track job postings and it did look like Ceridian's job postings declined quite a bit over the past couple of weeks that could be great because you hit all of your hiring targets but I just wanted to double check that? 
David Ossip: Yes. Just on the hiring side we have been hiring very aggressively throughout the year. What I will say is that we haven't really been struggling in finding fantastic candidates across the organization. In terms of the adjusted EBITDA I'll hand it over to Noemie for all the fun and goodness in that conversation. So Noemie all over to you. 
Noemie Heuland: Yes. Sure. So our adjusted EBITDA for Q3 as you saw was $39.4 million or 15% 15.3% of total revenue. For the full year, we continue to expect our adjusted EBITDA margin in the range of 15.4% to 15.9% of total revenue. This is pretty consistent with what we've said before. We're continuing to invest in our product and technology. We saw we made some exciting product announcements recently. And your comment about hiring we're actually very successful in attracting top talents in a tight labor market which shows our brand is strong and our reputation is strong as well. We've made some significant investments in our R&D as you saw our cash spend on R&D went up from less than 10% of our total revenue in Q3 last year to above 13.6% this quarter. We've ramped up our services delivery capacity which is kind of the timing thing that you see from Q3 to Q4 where we are ramping up to service our customers to go live in Q4, which is our largest go-live quarter. There's a lot of very large customers going live in Q4. And we're also focused on integrating the Data Fusion technology into the Dayforce platform. The other thing, I would say is we've also reopened our offices throughout the summer in North America. We've returned to in-person meetings as well which is very important for our people after having spent two years apart. And our sales reps are traveling to meet our customers and prospects throughout the fourth quarter. We've seen a lot of benefits obviously from digital selling and we continue to invest in digital sales capability that's not going to go away that was a great learning from the pandemic times. But we also want our sales -- the sales and marketing team to be meeting customers and prospects on site and we've done so quite successfully in Vegas as an example and we continue to do that throughout Q4. So that explains a little bit the timing between Q3 and Q4. But overall, our full year adjusted EBITDA and guidance range hasn't changed and our investment priority remained consistent. 
Alex Zukin: Perfect. Thank you so much, guys.
Erik Zimmer: Thanks, Alex. Up next we've got Jared Levine from Cowen. 
Jared Levine: Thank you. In terms of Dayforce sales force productivity where do we stand versus pre-pandemic if below when do you expect a full recovery? And if we're above what kind of -- what's driven that improvement? 
David Ossip: Sorry, Jared you're talking about sales productivity prior to pre-COVID? 
Jared Levine: Yes. 
David Ossip: That's a difficult number to answer because I don't know if we've actually measured a pre-COVID, post-COVID. But what I would say is that we are quite pleased with our sales productivity numbers. And when I look towards next year I think we would expect to get even more productivity out of the actual group. As you know this year, we invested very heavily in building out the actual sales team. We did that for a number of reasons. One, obviously, to move into the enterprise space to build out muscle in working with the system integrator relationships, we put in place and also to build out our capability is to focus on the full HCM platform, not only on the compliance modules. And I would say all of that has been going very well not only in North America but on a global basis. Noemie, anything that you would add to that?
Noemie Heuland: No, I think you covered it all. We've invested also in the sales support organization, with value advisers, solution advisers and people who can sell alongside system integrators and upmarket with a large customer. So that -- but you covered most of the points, David. 
Jared Levine: Okay. Great. And then in terms of the pace of Dayforce go lives in 3Q, can you kind of dig into what weighed on that pace there? And do you anticipate an uptick in 4Q?
David Ossip: Q4 is always the bigger quarter. Q3 is normally a lighter quarter. So, yes, we are expecting many more accounts to go live in Q4 over the Q3, which is typical for the actual period. In terms of the number of accounts, it's largely being driven by the size of the accounts that are going live. So if we take live for example a 50,000 employee account, if I compare that to historical trends where we're taking live say 1,000 employee counts the 50,000 would count for effectively 50. So we look at it more on an LTM basis now, which gives us more of an average type of trend for the actual business. 
Jared Levine: Okay. Thank you.
Erik Zimmer: Thanks, Jared. Next up we've got Siti Panigrahi from Mizuho. Siti?
Siti Panigrahi: Hey, guys. Congratulation a solid quarter. I wanted to, David, dig into the international market. That used to be one of your growth drivers in genital expense and you talked about a couple of years back. Now are you expanding your payroll -- native payroll and also you talked about some of these global wins as well. Tell us like, what you're seeing and when do you think it will be a material contributor to your revenue from international market? 
David Ossip: So look our goal I would say, probably about a three-year basis we'll push about 25% of our revenue onto a global basis. It might come quicker it might take a bit longer, but we generally are moving in that direction. We definitely have advanced relative to all of the other players in the market in terms of global payroll, and global core HR. Obviously, having a lot of success in market with companies that are headquartered outside of North America, as well as, companies inside North America that have global operations. At CWT, we actually discussed with the client base in nine additional countries that we're adding in 2022 in terms of, native payroll capability. And again, I think that just positions us very well in market to win these global accounts. We definitely are seeing, an increase in demand for core HR systems and talent suites and compliance modules that cut across the globe to give organizations that single experience for all of their employees regardless of where they live and work. 
Siti Panigrahi: That's great. And then a follow-up to Dayforce Wallet. That's good to see the acceleration in new customer sign as well as go live this quarter versus last quarter. But then you talked about streaming pay introduced in October and also the CWT or the event. How should we think about the ramp in Dayforce Wallet, in next few quarters? And when do you think it will be reasonable for you to start disclosing other metrics like, revenue or any other revenue contribution? 
David Ossip: I think we'll probably start late next year on the revenue contribution. As you know, it's still a new business for us. What I can say, if I look at the business on a quarter-over-quarter basis, it's effectively doubling every quarter. So we're still going through the kind of the early stages of what I call hyper growth of it. Some of the metrics that I'll point you to, I believe last quarter, we spoke about the average registration across all eligible employees to be about 25%. It's now over 29%. And when we look at customers that have been live over a year, we're seeing registration rates in the top quarter well above 50% with the very strong usage metrics that we discussed. Those 25 transactions that people are doing everyday living. It's fast-food, grocery, convenience, gas, ATM withdrawals and the like. So that excites us quite nicely. In the quarter as well, we released two days early or up to two-day early deposit which means that if you're a Dayforce Wallet user, you can get paid when you want and say you take out one-third of your net earnings during the period, you'll remaining two-third you can get up to two days early as well. And again, the whole model is predicated on no direct fees to the employees, no membership fees, no fees to the organization. And every payment is a true payroll, which means it's fully compliant to get an earnings slip for every type of transfer. The streaming of pay will come online as we mentioned in 2022. We believe that will obviously accelerate because the idea over there is instead of doing an on-demand pay or having to wait for direct deposit, as I work the pay automatically strains into my wallet and we're talking about making access to your earnings completely instantaneous and that will obviously be paired with quite a very rich financial wellness offering set with inside the actual product. So we are quite excited with it. Dayforce wallet by the way also has given us a tremendous advantage in market. We are still seeing attachment rates across new business well across 80%. And in every conversation that I have with clients, with early clients, the Dayforce wallet is top of mind.
Siti Panigrahi: Great. Thanks, David.
Erik Zimmer: Thanks, Siti. Next up is Mark Marcon with Baird. Mark?
Mark Marcon: Hey, good afternoon, everybody and congratulations on the great Dayforce results. You had a number of significant wins. I'm just wondering if you could characterize a little bit who you ended up winning from like you mentioned luxury global automotive companies, largest car rental organization. I mean those are all really long large enterprises. You had a number of international ones. Who are you replacing? How is the scope of the opportunities changing in terms of the pipeline? And how is the recognition from Gartner impacting your ability to sell?
David Ossip: Mark, the first thing I would say is we're seeing more and more customers, larger customers buy the full HCM suite. I believe the number is 36% of clients today buy a full HCM suite. And so, the takeaway from that is that we are now being seen not only as a compliance player, compliance being payroll benefits time and workforce management, but also a leader in talent intelligence, core HR, data analytics and all of the other pieces that comprise a very rich and robust and engaging system for employees. As we've gone upmarket, we obviously are seeing more add backs against the ERPs and I'm quite proud of our success over there. We do also compete as you know against the more traditional human capital management and payroll customers. And obviously our win rates over there are quite nicely. In terms of the wins, usually we're replacing a more legacy type of payroll or time solution either client server or mainframe based. We're also seeing replacement of more legacy-based ERP systems that might be on-prem or not through cloud. And obviously, we replace a lot of different point solutions when it comes to various types of talent modules.
Mark Marcon: That's great. And then you've got a lot of different growth opportunities, government international digital wallet. How is that going to impact your investment perspective for next year? How should we think about EBITDA margins in the short term relative to all of the investment opportunities that you have?
David Ossip: Yeah. Look our focus is on growth. We still have a relatively small market share whether it be in North America on a global basis. So we believe what's right for the company is to invest more on growth than on increasing the actual EBITDA. We are going to continue investing in product and technology, sales and marketing. In terms of our five growth factors which we always speak about, number one acquiring new customers, we're obviously doing very well still have a long way to go a lot of white space. Two increasing the actual platform. Jared spoke about some really tremendous innovations in terms of what we bring in to market and that allows us to expand the platform go back to the base. And remember add-ons remain at around 25% every single quarter. Moving into the enterprise space. I've spoken about that, but it's not only moving into the enterprise space on a payroll benefit and time perspective, we really are talking about moving into enterprise space on a full HCM basis. Again 36% of customers are now buying the full HCM suite. We've spoken a lot about the global opportunity. And in a number of years, I expect about 25% of our revenues come from the global basis. And then of course, we have the adjacent markets, which is the Dayforce wallet, which there's a lot of excitement and the metrics look very good. So in terms of long-term growth, for the company, we are obviously very excited. And as you mentioned, when it comes down to the annual budget there are a lot of considerations and trade-offs as to which of the five different growth factors we emphasized.
Mark Marcon: Should we just assume -- go ahead.
Noemie Heuland: We're also looking at the cloud recurring gross margin, which is one of the key indicator for us, because that's really what's going to fuel the long-term sustainability and profitability of the business. And that indicator keeps going up. It was up 290 basis points, excluding float this quarter. So that's really what we're looking at as we scale as well.
Mark Marcon: So investors should probably deemphasize looking at EBITDA margin from the short-term perspective over the next year just given all the investment opportunities and really focus on the recurring cloud gross margin in terms of…
David Ossip: I think, Noemie has emphasized a very important point. It's one that we have continued to talk about from the time we went public, that it's a metric that we look at internally, which is whether or not the growth the cloud recurring gross margin is expanding alongside revenue. And I would say that it's going up very nicely. As Noemie mentioned, it's up 290 basis points almost 3% on a constant currency basis year-over-year even given the headwinds that we still have from the -- sorry, from the employment headwinds.
Mark Marcon: Great. Thank you.
Erik Zimmer: Great. Thank you, Mark. Next up is Matthew Pfau from William Blair. Matt?
Matthew Pfau: Yeah. Great. Thanks, guys. David, at the World Tour you discussed the elastic workforce and some functionality that Ceridian was potentially working on in that area in terms of connecting employers with employees. Maybe you can just provide some more comments on your vision in that area? And how you think about that market opportunity?
David Ossip: Thanks, Matt here. I've spoken about this for quite some time. I always spoke about the technology having three sequential steps of delivery. The first step was to build out the continuous engine that would allow us to calculate net earnings as someone worked. And that's obviously quite a difficult thing to do and we believe we have quite a competitive merger around us in that we can do that and the others can't. The second step was creating the payment rails so that not only would we calculate net earnings in real time but we could also pay people in real time and that came down to the Dayforce Wallet and we've seen great traction. The third part was, well, if I download the Dayforce Wallet and we know who you are the KYC process. We know you have the right to work. We know what your certifications are. We know that you're a safe person. We also know inside the Dayforce application what all the local jurisdictional rules are for things like overtime, minimum wages, premium pay and the like. And we also have the capability through the Dayforce app to allow you to clock in and clock out via geo locations. In that case what we can do is, we can make it very easy for organizations to publish their vacancies. And a vacancy could be a number of hours, say a shift that has to be worked. It could be a task such as a delivery or could be a longer-term assignment say a three, four-week program in this time. And along with the vacancy, the organization could publish the competencies required and possibly even some learning management contract. We can then allow all of the Dayforce Wallet users to look at their app and much like they'll be looking for awards around them, they'll be able to see the vacancies for which they have the right competencies. They could learn about the vacancy through the learning management content, apply get matched and when they actually show up they would show a QR code to clock in and clock out. And as soon as their hours were approved, they would actually get paid. And as Ceridian would be responsible for doing all the necessary remittances, we're doing all of the year-end filings all of the different types of money movement. And you would go now from just not only having instant access to your earnings but you'd have the ability to actually find work and get paid in real time, which we believe matches where the workforce is going. So we're quite excited with that opportunity. We've started the actual research and the build-out and the partnerships that I think will enable us to do that. Obviously leveraging the great stuff that we already have through the Dayforce continuous calculation engine the Dayforce Wallet payment rails.
Matthew Pfau: Got it. Got it. And then just a follow-up on some of the other features that you discussed at the World Tour specifically around some of the AI and self-service features. How do you think about those from an ROI perspective when you're selling to prospective customers? And is that an important point of the conversation?
David Ossip: So Matthew, everything we built, we tie back down to a KPI that we can impact at a customer. And as we've always said that KPI needs to be measured, measurable and convertible into a money saving. For us, we use the term quantifiable value and I believe we're ranked number one in industry in terms of delivering strong ROI. When we talk about the Dayforce Wallet, we talk about some very strong metrics that show basically the decrease in attrition rates. The decrease in the first 90-day attrition rates, the quicker time to actually hire someone. So as we actually build it out, it's always along the same lines. In terms of the talent intelligence, what we would say today is the market operates in something called Talent 1.0. And at a high level, it's really people operating this list management framework. If I'm recruiting, I look at a list of candidates for a particular job requisition. I sought or I filter that list accordingly. I find the candidate that I'd like to act on and then I go through a number of sequential steps usually manually driven. In Talent 2.0 that we're beginning to release now, we're moving more to a recommendation and prediction type of model, very similar to for instance when you go to Amazon or Netflix and those systems recommend either products that you would like or movie shows or TV shows that meet your requirements. We're doing the same now on the talent side. When I go to that list of candidates, it's not a list but a set of recommended candidates that the system has predicted will be a good match based on who the hiring manager is and who the recruiter. And then even once we have that, we can go and use a lot of automation like align the candidate to self-schedule, when the candidate interacts with the system, we can engage with bot technology. So if the candidate is applying for one particular type of job, based on the candidate, who is applying and the available job requisitions, we can recommend back to the candidate where they may be a good fit for other opportunities, and at that point in time get them to engage, and or even complete the application for them. So it's effectively using ML models and AI models to go and look at what's been done currently in talent in order to engage with people in a much more natural manner that they would typically expect. In terms of the service desk over there, there's a lot of information that the Dayforce system has. As you know, we've already moved into natural workspaces you can now engage with the system through Teams or through Slack in a very natural way. We can now allow the employee to ask questions about policy. What is the vacation policy as opposed to just how many days do I have? Am I eligible for something? And by doing that we can take a lot of load off the HR department. And again, given that's driven off of ML type of model continually evolves, continually learns and becomes more of a natural way of interacting with the system. So, obviously, a lot of excitement in order to get around intelligence and data. If you do come to the Ceridian World Tour, which you obviously came in Vegas before others, you'll see Joe talk about that and we actually have a few demonstrations of the technology, which is really exciting.
Matthew Pfau: Perfect. Thanks, David.
Erik Zimmer: Thanks, Matthew. Up next, we've got Samad Samana from Jefferies. Samad?
Samad Samana: Hey, good evening. Thanks for taking my questions. I appreciate it as always. So maybe David first for you, just as I think about the international side, the company has done M&A around that. And clearly the commentary this quarter was positive around traction. How should we think about maybe international bookings or like new book dollars in this quarter versus prior quarters? And maybe how should international as a percentage of new booked dollars going forward?
David Ossip: Samad, I don't think we've actually included that in the actual numbers. I don't have them off hand, but obviously the global business continues to do very well, not only on the sales side. But if I look at global implementations, we're seeing a lot of success both in EMEA and across APJ's in terms of getting customers live and referenceable. As we go into the upmarket space, it's almost a certainty that we're always selling our global systems whether as I mentioned, they are globally headquartered companies or whether they're based in North America. In some instances, we actually see both. If you look at the shareholder letter, we actually speak about an automotive company headquartered out of Germany. There were actually two separate processes, we went through. One was for the dealers that they have across Germany, and the other one was for their kind of more global manufacturing operations. So we're just kind of a benefit from having both of those. And obviously, as you go through the risk profile and become a vendor or the overall organization there's a lot of benefit and a lot of growth we see across the globe.
Samad Samana: Great and then on the Canadian federal government deal it was great to see that that's been brought back now as the world reopens. Is that included in the guidance, for the fourth quarter? Is there any revenue contribution from that? And then, just how should we think about the impact of that on maybe the near-term EBITDA outlook maybe even into 2022, or just how should we think about the margins -- the margin impact from that? 
David Ossip: So there's a little bit of service revenue and a small amount of subscription revenue inside the actual quarter, but I wouldn't call out as being material. Where we are with the government of calendar we're in the midst of the planning phases for the experimental pilot for the first department inside the government. Obviously, the majority of that work effort in terms of executing across the pilot will happen in 2022. It's also obviously, that the GOC will require more departments to be included in the pilot to test the various elements of the actual system. So it's likely that the number of departments will be expanded more thoroughly, as we move forward as well. 
Samad Samana: Great. And then maybe just if I could squeeze in a third one, which is just I know I heard the question about the employment recovery. I wanted to ask a different way given just how many companies you're exposed to so regularly, as the CEO of a large HR payroll company is? When you think about the hiring within the base is it a safe assumption to assume everybody will get back to the same levels where they were all else equal before the pandemic? I mean, I guess, I'm just curious, how much if there's automation or if there's hiring plans have shifted where they're more efficient and don't need to get back to those levels? Is that something we should think about as well as far as same-store sales growth goes within the installed base? 
David Ossip: If you ask me, Samad, I do think that they'll end up with employment levels above where they were pre-pandemic. There are a number of factors. I do think the economy is growing very quickly. And so companies are not hiring back to their previous levels but are hiring above their levels. The second part is, I do think there are a lot of new companies that have entered the economy that didn't exist pre the pandemic. And those companies are actually hiring as well. So I do think, we'll move back to very full employment inside the economy as we go into 2022. 
Samad Samana: Great. Thanks so much, David
David Ossip: Thank you, Samad
Erik Zimmer: Up next we've got Arvind Ramnani, with Piper Sandler. 
Arvind Ramnani: Hi, Thanks, Erik. David I want to ask a bit more about Dayforce Wallet. I know you provided lot of color on Siti's question on Dayforce Wallet. But a couple of questions I have on a Dayforce Wallet. One is what are some of the second derivative benefits of Dayforce Wallet? I mean I think the revenue portion is going to be interesting when you start to provide it next year. But can you just talk about some of the second derivative like, impact on win rates, ability to charge clients more or engagement? Just some of the second derivative benefits would be great.
David Ossip: Look the first is obviously our run rate goes up, because what we are allowing companies to do is to move to paying people immediately without them having to change, the way that they fund their payroll and without any cost to them in terms of subscription fees or fees to their employees. So it's a tremendous benefit to both the organization, and to their employees. In fact, an organization could go from a weekly or biweekly payroll to a monthly payroll and get a onetime lift of working capital as well. They wanted additional benefit. So I think that's becoming very important. The second is, what I would say, is that the desire to get paid immediately is becoming a requirement in business today. It's no longer optional. So the economy is moving there and we have better tech than I think anyone else in the market in that every time we move the money, we do a true payroll that is fully compliant at a federal on the state or provincial basis in Canada. And I think that's very, very strong as well. When we're going to some deals, we actually are seeing them very focused on the Dayforce Wallet. There have been in some cases, where that has allowed us to maintain or actually increase pricing just based on the advantage that we have inside the market. And the last piece as well is that, I do believe it does help our brand with the employees of our customers. And so, I would expect over time that we become the preferred choice of HCM solution, not only for the organizations, but for the worker as well.
Arvind Ramnani: Terrific. And then, getting back to the first derivative impact. What is the sort of revenue model? I mean, from what I've understood it, it's like maybe like an interchange 80 bps or something. So two questions. What is the business model? And I understand there's an interchange fee associated with -- when they use the debit card to pay for it. But in the situation where someone pulls, let's say $1,000 and they say $800 is going to go into my bank account, $200 to stay in my debit card. Is there revenue to be gained even from that $800 that goes into the bank account?
David Ossip: So first of all, currently, we don't see many transfers of the actual cards. What we're actually seeing is the 80-day spending from the cards. And as we mentioned, there's about 25 transactions per month, they average probably about $30 per transaction, usually on day-to-day living. When someone does an ACH transfer which again, we don't see much of that there isn't any fee to the actual employee. Next year, we will move into what they call OCT transfers or instant transfers. And over there, there is an ability to charge for that. Usually it is 50 basis points up to a small cap that discharge for that particular type of transfer. What we are seeing in terms of the usage of the wallet is becoming quite disruptive to the credit card industry. So instead of using the credit card, we're seeing a lot of the employees are now using the Dayforce card instead. In that way, there obviously are more on top of their finances and they don't get into a situation, where they are paying the 22% on the balance of the actual statement at the end of the month. There's a big benefit from them. In terms of additional revenue opportunities, as we move into next year, we start moving into things like rewards and we'll probably move into the areas like, buy now pay later. And all of those types of opportunities give us the ability to increase our take rate. For example on the rewards, we would expect to get about 90 basis points on the actual spend for that particular type of item that was covered by the reward on buy now pay later basis, there would obviously be a revenue share with the partner over there.
Arvind Ramnani: That’s terrific. Appreciate it and looking for ward to next weeks event that you’re hosting.
David Ossip: That’s great. Thank you.
Erik Zimmer: Thanks, Arvind. Next up is Michael Turrin from Wells Fargo.
Michael Turrin: Hey there. Good afternoon. Thanks for taking the question. I know there was one here earlier already and appreciate the seasonal dynamics in the model. But the net go-live number does look a little lighter than what we were expecting. And I'm wondering, if that's at all tied to labor constraints, either on services or the partner side or if it is truly reflective of a move up market and towards partners? And if so if that suggests that maybe you're likely to see even more of a Q4 seasonal weighting in the model either this year or just on a go-forward basis?
David Ossip: Mike, it was largely tied to just the size of customers.
Michael Turrin: Okay.
David Ossip: So, I wouldn't read anything to it. And last year, we used to say look at it on a half year basis because it evens out between quarters. Typically, you always have the Q4 as being the biggest quarter because in the US customers want to avoid the first quarter reconciliation. So the Q4 we're expecting obviously a very healthy go-live. Quite honestly, internally, we track it at a dollar value of go-lives. So we look at their cap on go-live in the quarter, we don't really focus on the actual number. The other part about that the number isn't really what I'd call a pure number because, when you have a customer that goes live in a different country, if they have contracted through a different type of entity, it could be viewed as from finance as a go-live, second go-live, whereas from a system perspective, we would actually view it as one system. So again, I would encourage you to look at the LTM basis more than anything else. I wouldn't read too much into it.
Michael Turrin: If you want to give us the PEPM go-live metric David, we'll take that too. But maybe you can talk... 
David Ossip: That's a question for Noemie. I'm just a customer. 
Michael Turrin: Maybe you could talk about just the incremental Dayforce metric that's now above $200,000. So I'm just wondering if there is a ceiling at all there or if you think that continues to trend higher given you are just hitting new thresholds and milestones there as well? 
David Ossip: No look the way I look at it it's a rectangle. And on the x-axis you have the number of employees which obviously is growing all the time. And then on the y-axis is the PEPM the pricing that we get for those. And as we increase the number of modules that we have with the customer we go up on that y-axis as well. And so I would expect it to continue going up. 
Michael Turrin: Thank you very much.
Erik Zimmer: Great. Thank you, Michael. Next up we've got Brad Clark from BMO. Brad?
Brad Clark: Thanks guys for taking my question. I want to focus on the payroll strategy. You announced a lot of new countries to build out for 2022. Looks like a lot focused on the agent path. And so on a broader level I just want to see if you can discuss your strategy around payroll rollout? And when how do you expect to see the impact of the new payrolls on winning Dayforce customers? Thank you. 
David Ossip: Yes. So Brad a great question. Currently, we're actually focused I would say on three regions. The first region would be North America. And obviously you'll probably see us move into Mexico in the short-term as well to cover and complete the North America rollout. That obviously will have impact on manufacturing customers with inside North America. The second area we're quite focused is in on EMEA. We've got a very good presence as you know in UK and Ireland. I've seen really tremendous traction in Germany and we're launching the native payroll solution for Germany next year as well and we're seeing quite a lot of interest in that. Once we have Germany we obviously are going to expand into the other dot countries surrounding Germany to get a road of footprint across EMEA. The third area as you pointed out is across APJ. Obviously the reason we're doing that is that we do have a lot of what we call bureau customers so customers through the acquisitions of Ascender and Excelity and RITEQ. And as we build out the native capabilities for those regions that gives us an opportunity to go back to the base and not only move their payroll onto Dayforce, but also add on things like time and attendance workforce management core HR and all of the talent modules which obviously is a very large revenue opportunity for us. Also within APJ, we've got quite well kind of integrated go-to-market. So we have sales and marketing across the region a big presence across areas like Singapore, A&D and other areas across. We also have service and implementation capabilities in market which means we can get to market quite quickly. And as we move into 2022 you'll start to see us focus more on what we call the migration and the upsell of the incumbent base which is about 1,500 customers in region. Noemie anything that you would add to that? 
Noemie Heuland: No you covered it all.
Brad Clark: Great. Thank you. 
Erik Zimmer: Thank you, Brad. Next up is Robert Simmons from D.A. Davidson. Welcome to call Robert.
Robert Simmons: Thanks for taking my questions. So you talked about wallet monetization but for streaming pay as the money isn't going into wallet and you said that it's not going to be any charges simply what is the revenue model there? 
David Ossip: It's the same model, Robert. It is -- streaming pay comes on board next year. It's effectively the same as on demand pace. So the current experience at the moment is I look at my mobile device it tells me how much net earnings I have earned. So that is what is my growth that all of my taxes and deductions and then I can elect say I'd like $50 added to my Dayforce Wallet or card. When I do that I wait for about 5 seconds to 10 seconds and then 5 seconds to 10 seconds we doing our calculation going back about a year we're actually creating an earnings slip and we're actually funding the card immediately but just about a 10-second wait and the reason is to look at their balance before they spend. Where streaming pay I elect to stream my pay. And as I earn the money flows on to my wallet at the end of every day. I don't have to do the on-demand transaction when it goes on to the card we still get exactly the same interchange when they go often spend or through the other types of transactions on the card. 
Robert Simmons: Got it. Okay. So I thought it was going directly into the comp. I guess that was not correct. 
David Ossip: Yes, it goes onto the Dayforce Wallet.
Robert Simmons: Got it. Okay. And then do you have any preview what you're going to be giving us next week at the investor track?
David Ossip: With the investor track, we actually wanted you to do is provide an opportunity for the investors to meet the executive team. So in the executive track, we'll have it moderated by Leagh Turner. Leagh will also have Joe Korngiebel, our Chief Products and Technology Officer, we'll have Chris Armstrong, our Chief Customer Officer. Well, obviously, we'll have Noemie, we'll have Erik, we'll have Seth Ross your heads up our Consumer Group. Erik, Noemie, who else am I missing in the group? So I think we wanted to have quite a – allow people to have a dialogue with a broader set of the executive team.
Erik Zimmer: Yeah, that's right. There's a couple of other executives. And then what we've done is we've curated the actual customer sessions earlier and kind of selected a few that we think will be most applicable to investors.
Robert Simmons: Got it. Great. Thanks very much.
Erik Zimmer: Thank you, Robert. And for our last question of the night Bhavin Shah from Deutsche Bank. 
Bhavin Shah: Great. Thanks for taking my question. I mean, just maybe focusing on the SI partnerships. Can you just provide us an update on what you're seeing in terms of these guys adding more to the pipeline opportunities? Is this something that we should expect as we go into next year once you start probing more deals?
David Ossip: Yeah. So actually a great question on that. Obviously, we're seeing the number of opportunities brought to us by the SIs go up sizable a large margin. Obviously, we started off at a base of zero. So you can expect to see very rapid increases on a percentage basis, but we're very happy with the growth of the pipeline that has been influenced by the SIs. So that's the first piece we're seeing. Second piece is we have got more SIs priming, Dayforce implementations, which allows us to continue growing, especially on a global basis. Without having to necessarily continue to build out our own services group internally, it allows us to focus on really doing what we do great, which is build great software, and deliver grade software, and obviously service to create software. In terms of the partner network, we are well above 20 SI partners, who have resources, who are trained at CWT in Vegas, we have a very good chain by them and I believe we'll see quite a few of them at the New York event as well.
Bhavin Shah: Got it. Super helpful. Just a quick follow-up on wallet, I mean, nice to see the continued growth in terms of go-lives and the adoption from the employee base, but maybe can you provide any information on what you're seeing in terms of your customers providing more of an employee's paycheck available in terms of on an on-demand basis whether you're seeing them increase it from 30% to 50% or 50% to 70% and like what's that trend been like?
David Ossip: Yeah. The two types of comes those have put guardrails, so they're limited to 50% and others that give full access. When I look at the overall population, it appears about 30% of individuals who use their wallet move their wages on to the wallet before the end of the pay period. If they use it for direct deposit, and we've seen the direct deposit business actually go up quite nicely. They get access to those funds two days earlier than they normally would as well. So to answer your question, I don't think, it actually has been driven by the organization just given that your natural amount movement onto the water seems to be about 30% of the actual wages. Once we start doing a three-minute of pay, I would expect that to go higher. And we're also starting to emphasize now the direct deposit side. And so if you get the direct deposit you effectively get all of it at the end of the actual period as well.
Bhavin Shah: Got it. Super helpful. Congrats on the strong quarter.
David Ossip: Thanks very much. Appreciate it. Erik, just to pass it back to you.
Erik Zimmer: Yeah. Thanks, David. And with that question that concludes our call for tonight. So on behalf of Noemie, David and the rest of the Ceridian executive team, we thank you very much for your time this evening, and we look forward to continuing the conversation throughout the quarter.
David Ossip: Great. Thank you everyone. And I look forward to speaking to many of you tonight and tomorrow. And I hope to see a lot of you next week as well. Thank you very much. 
Noemie Heuland: Bye.